Operator: Good morning. Thank you for standing by, and welcome to Pluxee Fiscal 2025 Results Presentation. [Operator Instructions] I advise you that the conference is being recorded today, October 3. At this time, I would like to hand over the conference to Pauline Bireaud, Head of Investor Relations. Please go ahead, madam.
Pauline Bireaud: Good morning, everyone, and thank you for joining us today for Pluxee's Full Year Fiscal 2025 Call. I'm Pauline, Head of Investor Relations at Pluxee, and I'm pleased to be here with all of you today for our second set of full-year financial results as a stand-alone listed Group. So today, I'm pleased to be joined by our CEO, Aurelien Sonet; and our CFO, Stephane Lhopiteau. Before we begin, let me quickly walk you through today's agenda. Aurelien will start with the highlights and key figures for the full year, followed by a focus on the main achievements in executing our strategic road map. Stephane will then take you through our financial performance in detail, as well as the evolution we are introducing to our capital allocation policy this year. And finally, Aurelien will conclude with our outlook for fiscal 2026 before we open the floor for questions. And with that, I will hand over to Aurelien.
Aurélien Sonet: Thank you, Pauline, and good morning, everyone. I'm very pleased to be with you today. Fiscal 2025 was another very strong year, in which we executed our strategy with discipline and delivered above expectations across all key metrics. I want to sincerely thank our teams for both their commitment and excellent execution, which made these results possible even in a challenging environment. Let's look at the key highlights of the year in a nutshell. First, we continue to see strong momentum in new client acquisition with a growing contribution from SMEs year-on-year. Second, despite weaker portfolio growth, reflecting current macro uncertainties, we maintained a net retention rate of 100%, in line with our midterm objective. Lastly, our recent M&A transactions, a core pillar of our growth model, are already delivering positive revenue contributions. This translated into first, solid top-line organic growth, supported by continued strong momentum in Employee Benefits. Second, robust margin expansion, primarily fueled this year by operating improvements, underscoring the operating leverage of our model and the headroom for further margin gains. And third, an outstanding cash generation and conversion. Consistent with our disciplined approach to capital allocation and our commitment to revisit regularly our shareholder return framework, we have decided, with the support of the Board, to further enhance shareholders' returns for fiscal 2025. In addition to a higher dividend, we will launch a EUR 100 million share buyback program, reflecting our strong fiscal 2025 performance and reflecting our confidence in Pluxee's future prospects. Let's now take a look at our fiscal 2025 performance against our objectives on Slide 5. As just mentioned, we delivered across our 3 key financial objectives in fiscal 2025. We recorded a plus 10.6% organic growth in total revenues, fully consistent with our low double-digit objective. We achieved a significant expansion of plus 230 basis points in recurring EBITDA margin compared to plus 150 basis points previously. This demonstrates both the operating leverage of our platform and our ability to drive efficiencies. And finally, we delivered 89% recurring cash conversion, well above our target of above 75% on average for fiscal 2024 to 2026. So in short, we are clearly well ahead of our initial plan. In addition, I would like also to highlight that our free cash flow engine has expanded very materially from circa EUR 290 million in fiscal 2023 to EUR 417 million in fiscal 2025. This is a step change in the group's financial profile. These strong results have enabled us to revisit our shareholder return for fiscal 2025, as we will detail on Slide 6. Indeed, we have decided to introduce greater flexibility in our capital allocation policy for fiscal 2025 through a combined shareholder return approach that includes: first, a dividend of EUR 0.38 per share, up plus 9% compared to fiscal 2024 and representing a total dividend distribution of approximately EUR 55 million, subject to shareholder approval at our general assembly end of December; and second, a EUR 100 million share buyback program, leveraging our record cash flow generation and significant increases in our net cash position to further enhance value creation for our shareholders. Stephane will provide more details on this in his section. Before we go into the details of the strategic milestones reached in fiscal 2025, I'd like to take a step back and look at what the group has already delivered financially over the first 2 years of the plan, moving to Slide 7. Putting the group's financial performance over the past 2 years into perspective, there are really 2 key takeaways. First, it highlights the structural strength of our model and its strong conversion capacity. Consistent top-line growth translates into remarkable profitability and cash generation with recurring EBITDA CAGR at plus 14% reported and free cash flow CAGR up plus 20% over the past 2 years. Second, it demonstrates how resilient our model is. Even amid currency volatility across several of our core markets, we have been able to absorb over 7 points of ForEx impact on revenue in fiscal 2025, while continuing to deliver solid results. Now let's zoom on our strategic road map execution on Page 9. Pluxee has maintained strong business momentum through fiscal 2025, winning new clients and delivering solid commercial results even amid persistent macroeconomic headwinds across countries. Starting with new client development. We have once again outperformed our objective, generating EUR 1.5 billion in annualized PBV from new clients in fiscal 2025, well above our EUR 1.3 billion annual target. Our net client retention rate also remained consistently at 100%. This was achieved through a combination of improving client loyalty, further increase in face value, and steady cross-selling while absorbing end-user portfolio evolution, on which I will come back to. Looking more closely at the face value driver, which supports net retention, it contributed an incremental EUR 1.1 billion in business volume issued over the fiscal year. This means that we have already reached 80% of our EUR 3 billion target over 3 years. In addition, we are quite confident for the year ahead given the recent announcement in terms of increases in sales value legal cap in several countries. We will now take a closer look at each of these growth levers in the following slides, beginning with product offering on Slide 10. Over the past year, we have stayed focused on enhancing our offering, expanding both its breadth and depth to better serve our clients and consumers. Building on our strong Men food foundations, we have significantly broadened our portfolio to support consumer lifestyle, health, financial, and mental well-being alongside an expanding range of employee engagement solutions. At the same time, we are bringing all these benefits together in a single unified experience through Pluxee global consumer app. The programmatic rollout of the app is well underway. We are progressively expanding it across our key markets while accelerating the launch of new features and benefit integration to ensure continuous innovation for clients and our end users. The key strength of our global solution lies in its payment flexibility, being fully payment agnostic, it integrates the most popular digital payment options such as Google Pay, Apple Pay, and QR code solutions to ensure maximum convenience. Innovation drives our growth with AI being a key accelerator of both efficiency and creativity. In France, for example, our AI-powered chatbots already filter and direct requests to ensure that each user receives the right level of support at the most relevant stage of its journey. Together, this initiative strengthened our commitment to deliver a richer, intuitive, and seamless experience to our customers across our 28 countries. Product offering lies at the heart of our value proposition to clients. Let's look at how it fueled our commercial performance, starting with new client acquisition on Slide 11. The sales momentum has remained very strong over the year, allowing us to deliver more than EUR 1.5 billion in new client development with a positive contribution from our 3 regions. It has been sustained by several structural drivers, namely, first, the full activation of our high-performing commercial engine, powered by a strong sales discipline, advanced data-driven marketing, and an omnichannel client engagement. And second, a growing contribution from SME. As we continue to accelerate the penetration of this segment. Automation enables us to scale SME acquisition, which now represents 31% of total new business, highlighting the success of our digital self-service journey and our distribution partnerships. Let me briefly highlight 2 key contract wins that illustrate what I've just mentioned. First, our Brazilian team won a major employee benefits contract with Energisa, a leading energy provider in Brazil. This success was achieved through the full activation of our partnership with Santander, serving more than 20,000 additional end users. Second, we won a nationwide benefits program with Randstad, covering over 8,000 workers in Italy. I would like to take this opportunity to make a brief side comment on Italy. Following intensive efforts from our local sales team, we successfully managed to almost entirely absorb the regulatory change impact on merchant commissions. This was achieved by renegotiating with our clients to restore a sustainable balance between all the stakeholders. Looking ahead, supported by a solid and diversified pipeline, we are confident in our ability to deliver on our EUR 1.3 billion target in fiscal 2026. Let's now turn to how we are unlocking the full potential of our existing client portfolio on Slide 12. Over fiscal 2025, Pluxee continued to deliver strong performance across its existing client portfolio. Client loyalty improved by plus 20 basis points, and the group continued to demonstrate strong engagement to optimize existing client portfolio through further sales value increases and cross-selling. However, tougher macroeconomic context has translated into hiring increases and, in some markets, workforce reductions, especially in some European countries such as France and Mexico as well. This has progressively put a growing pressure on our end-user portfolio, which turned negative in H2.  Despite this headwind, it has been another solid year in terms of net retention, maintained at 100%, demonstrating the strength and resilience of our business model. One notable example worth highlighting is the renewal of our long-standing partnership with Capgemini. We successfully won a major tender, resulting in a long-term strategic contract serving more than 68 active users across 9 countries. Beyond the business volumes, this renewal reinforces our position as a global trusted partner for our clients. It also offers strong potential for future value growth, supported by Capgemini's continued expansion and its increasing focus on employee engagement and retention.  Altogether, this performance reinforces our confidence in the strength of our value proposition, our market positioning, and the resilience of our growth drivers even in a fast-changing macroeconomic context. Now that we have discussed organic growth, let's move on to our M&A strategy and how we've been progressing with recent integration on Slide 13.  Since the spin-off, we have completed 8 transactions, comprising 1 strategic partnerships and 7 bolt-on acquisitions, including the most recent one signed in early fiscal 2026. We have been and we will remain guided by our clear strategic framework centered on 3 key priorities: expand business volumes to consolidate the group's market share, broaden our offering and product portfolio to deliver more value to both employers and employees, and enrich our technology capabilities to accelerate innovation, scalability, and end user engagement.  Step by step, we are strengthening our track record in sourcing and acquiring targets while demonstrating our ability to successfully integrate them and generate growth synergies. Looking ahead, our M&A pipeline remains strong and diversified, spanning multiple geographies and deal sizes, consistent with our global strategic road map. Let's now take a closer look at how we are integrating these acquisitions and the tangible impact that they are already having on our strategic positioning and performance on Slide 14.  All these recent partnerships and acquisitions are progressively delivering incremental value, including through initial synergy. Starting with Brazil, where our strategic partnership with Santander is showing strong traction. While Ben's integration has been seamless, maintaining a high level of client loyalty, the distribution agreement is now fully activated, allowing us to leverage the 4,500 Santander sales team, with around 22% of them having already sold at least one Pluxee solution. In less than a year, monthly business generated through the Santander distribution network has doubled year-on-year, confirming the value of this alliance as a growth accelerator.  Still in Brazil, the acquisition of BenefÃcio Facil further enhances our multi-benefit offering by internalizing the employee mobility benefit. Integration is well advanced with 95% of the streams completed, and commercial traction is already picking up, driven by strong new client acquisitions, notably through Santander's distribution network.  Turning to Spain. The successful integration of Cobee has propelled Pluxee to the #1 market position. It is built on our best-in-class multi-benefit platform, which offers a broad and diversified product range from health insurance to training, and our proven ability to engage employees through a fully digital, intuitive, and flexible experience. The results are tangible. Employee opt-in rates have increased by 50% on the client migrated, demonstrating both the appeal of the Cobee model and the success of our integration. Beyond growth, our ambition is also to generate sustainable profitability, as we'll see on Slide 15.  One of the key pillars of our value creation journey is the group's strong potential for margin expansion. There are 2 main drivers behind this margin expansion. First, operating leverage generated by our highly scalable business model and our increasingly global operating model. This effect has been further amplified by the increased contribution of our latest M&A transactions and by the near full digitization of our business, with around 94% of our BVI now being digitized, including France, up to 90% at the end of the fiscal year.  Second, efficiency gains driven by the normalization 18 months after the spin-off of our cost structure, combined with tight cost discipline and rigorous portfolio monitoring, constantly assessing product and country performance. This disciplined approach led, for example, in fiscal 2025 to the decision of exiting from Indonesia. The key point is that in fiscal 2025, the bulk of the EBITDA margin increase came from operating EBITDA of plus 235 basis points. This shift is particularly important as it shows that our margin expansion is now coming from structural operational improvements. Looking ahead to fiscal 2026, this trend should continue to intensify as Float revenues are expected to remain stable and therefore, dilutive to overall EBITDA margin expansion. Now before giving the floor to Stephane, I'd like to briefly touch on our sustainability road map, in which our strategy is fully embedded on Page 16. Our sustainability road map is built around 4 core values, each supported by clear measurable targets.  First, Pluxee acts as a trusted partner, with 98.7% of our employees being trained in responsible business conduct. Second, we empower individuals while promoting diversity, with 40.6% of women currently holding a leadership position. Third, we strengthened local communities with EUR 7 billion in business volumes reimbursed to small and mid-sized merchants. And finally, we reduced our environment impact with the current 23% reduction in carbon emissions compared to our 2017 baseline. It is also worth noting that in fiscal 2025, we achieved an EcoVadis rating of 78 out of 100 and obtained our first CDP score of B, both reflecting the strong recognition of our sustainability performance. And with that, I will hand over to Stephane to go in more details on our financial performance.
Stephane Lhopiteau: Thank you, Aurelien, and good morning, everyone. It's my pleasure to be with you today to present our fiscal 2025 results in more details, starting as usual with our business volume bridge on Page 18. The sustained growth in business volume issued or BVI has been one of the key growth drivers to Pluxee's top-line growth over fiscal '25. Over the year, total BVI reached EUR 24.5 billion. It was fueled by Employee Benefits BVI, which reached EUR 18.7 billion, up plus 7.6% or plus 8.5% when excluding the one-off effect related to the purchasing power program in Belgium.  Such growth in Employee Benefits BVI was driven, as Aurelien already mentioned by: first, strong new client development across both large accounts and SMEs. Second, the net retention rate maintained around 100%, supported by enhanced client loyalty, further increase in face value, and steady cross-selling. And third, the positive contribution from recent M&A transactions through both growth synergies and favorable scope effect. However, performance was also affected by persistent macroeconomic headwinds, leading to increased pressure on end users portfolio across an expanding set of markets, notably Continental Europe and Mexico, and within sectors like temporary staffing, consulting, and manufacturing.  On its side, BVI from other products and services remained stable in fiscal '25 at EUR 5.8 billion, a decline versus fiscal '24 due to the Public Benefit segment, reflecting the discontinuation of large programs during the year, primarily in Romania and Chile, the latter being fortunately partially renewed from March 2025 onwards. Let's now see how the BVI organic growth fueled our solid revenue organic growth on Slide #19. Total revenues reached EUR 1.287 billion in fiscal '25, up plus 10.6% organically, fully in line with the group's low double-digit growth target. On a reported basis, total revenues growth reached plus 6.4% year-on-year, including, first, a negative currency translation impact of minus 7%, coming mainly from operation in Brazil and Turkey, and to a lesser extent from Mexico.  And second, a positive scope effect of plus 2.8%, primarily reflecting the integration of the Santander Brazil Employee Benefits activity as well as the acquisition of Cobee in Spain, Portugal, and Mexico, and of BenefÃcio Facil, in Brazil. Fiscal '25 total revenues were made of EUR 1.125 billion in operating revenue, up plus 10.3% organically, and EUR 162 million in float revenue, up plus 12.6% organically. This strong performance in fiscal '25 underlines Pluxee's ability to deliver sustained top-line growth in an increasingly challenging and volatile environment. In this context, we also managed to deliver a strong fourth quarter with total revenues growing by plus 9.6% organically, excluding a plus 2% scope effect and a minus 4.8% currency impact, and driven notably by strong performance in Latin America.  Let's now take a closer look at the underlying trend behind both Operating and Float revenue, starting with Operating revenue on Page 20. The momentum in Operating revenue was driven by Employee Benefits, which reached EUR 963 million in fiscal '25, up plus 12% organically, excluding a minus 7.4% currency impact and a plus 3.3% scope effect. Strong business momentum in Employee Benefits was driven by a solid organic growth in business volume issued, particularly in Latin America and Rest of the World as anticipated, and the quick progressing of circa plus 20 basis points year-on-year to 5.1% on average.  In Q4 '25, Pluxee generated operating revenue of EUR 265 million in Employee Benefits, delivering plus 11.6% organic growth, confirming the ongoing positive momentum. On other products and services generated operating revenue of EUR 162 million in fiscal '25, showing flat growth year-on-year, with the fourth quarter being slightly negative. This trend reflected the discontinuation of large public benefit contracts in Romania and temporarily in Chile, as well as the ongoing repositioning of Pluxee's offering in the U.K. and the U.S. As mentioned, operating revenue organic growth was mainly driven by Latin America and Rest of the World. Let's take a closer look at this on Slide 21.  Turning to geographies. Regions delivered strong double-digit organic growth in fiscal '25, namely Latin America and Rest of the World, while Continental Europe was tempered by a challenging macroeconomic environment and a high comparable base. Starting with Europe. Operating revenue reached EUR 506 million, up plus 5.1% organically for fiscal '25 with a Q4 organic growth of plus 2.2%. While the group continued to benefit from solid momentum in Southern Europe, particularly in Spain, supported by the Cobee acquisition, growth was tempered by several factors in the region, including: first, the increasing challenging economic and political environment across the region.  Second, adverse impact from public benefit program, especially in Romania, following postponed ordering or reduction linked to budget deficit measures. And third, a high comparison base from 2024 one-offs, such as the Belgium purchasing power program and the Paris Olympic Games. In Latin America, operating revenue reached EUR 429 million for fiscal '25, up plus 14.5% organically, excluding a plus 4.7% scope effect and a minus 13.3% currency impact. In Q4, organic growth in the region accelerated significantly to 19.8%. This strong performance was driven primarily by Brazil, notably fueled by the fully operational Santander partnership and the further penetration of the market, especially among SMEs.  Commercial momentum also remained strong across Hispanic LatAm, particularly in Chile, where the [indiscernible] public benefit program was renewed from March 2025, even if with distinct economic terms. However, Mexico continued to face headwinds linked to U.S. policy changes. In Rest of the World, operating revenue totaled EUR 190 million in fiscal '25, up plus 14.2% organically, excluding a minus 7.7% currency impact, mostly due to the Turkish lira devaluation.  Double-digit organic growth in the region was driven by Turkey, where the group continued to unlock increased sales value from existing clients and to penetrate further the benefits market through new contracts. As expected, performance in U.K. and U.S. remained below group standards, still affected by the ongoing business repositioning in both markets.  Complementing operating revenue, let's now move to the float revenue performance analysis on Page 22. Fiscal '25, revenue growth slowed down compared to fiscal '24, even if still above initial expectations. Gross revenue reached EUR 162 million, up plus 12.6% organically, excluding a plus 3.4% scope effect and a minus 11% Q translation impact. In Q4, it continued to gradually decelerate to plus 7.6% organically. Organic growth in revenue over fiscal '25 was supported by higher business volume issued in nonrestricted cash, particularly in Latin America and rest of the world. However, this trend was not reflected in the overall float position remaining stable at EUR 2.7 billion at year-end due to the less dynamic trend in programs issued in restricted cash.  The overall positive trend in volumes was reinforced by a higher average investment yield year-on-year, reaching 6% in fiscal '25 compared to 5.7% in fiscal '24 as a result of the group's efficient investment strategy tailored to local financial market conditions and the high interest rates in Brazil and Turkey.  This section on top-line performance, let's now turn to profitability, starting with recurring EBITDA on Slide 23. Recurring EBITDA rose strongly, up plus 22.2% organically to EUR 471 million, up plus 9.4% on a reported basis. Recurring EBITDA margin reached 36.6%, up plus 202 basis points, including currency and effect, driven by solid operating profitability gains across all 3 regions. This robust performance was primarily supported by the inherent operating leverage embedded in the group's business model. It was further enhanced by the initial positive contribution from certain recently closed acquisitions, largely commented by Aurelien.  The margin expansion also reflects efficiency gains achieved through: first, the strict cost base monitoring; second, our constant portfolio rationalization efforts; and third, the end of one-off effects related to the spin-off. Altogether, this translated into a plus 235 basis points organic expansion in recurring operating EBITDA margin, I mean, excluding [indiscernible]. It was further supported at the recurring EBITDA level by favorable flow-through from still growing flow of revenue, notably in Latin America and rest of the world. This strong growth in recurring EBITDA fueled solid performance further down the income statement, all the way down to adjusted net profit, as we can see on Page 24.  Let me walk you through the key items below the recurring EBITDA line, starting with recurring operating profit, which stood at EUR 361 million, up plus 5.7% includes minus EUR 110 million of depreciation, amortization and impairment charges in fiscal '25 compared to minus EUR 89 million in fiscal '24, an increase mainly reflecting the amortization of intangibles acquired through the Santander partnership and the Cobee and BenefÃcio Facil business combination.  Other operating income and expenses amounted to a net expense of minus EUR 26 million in fiscal '25 compared to minus EUR 92 million in fiscal '24, reflecting the expected normalization post spin-off, notably once the H1 '25 residual ISI [Indiscernible] cost had been accounted for. Net financial expenses totaled minus $17 million in fiscal '25 versus minus $20 million in the prior year. Gross borrowing costs declined slightly, driven by the nonrepetition of spin-off refinancing costs and more favorable financing conditions. Income tax expense amounted to minus EUR 100 million in fiscal '25, corresponding to an almost normalized effective tax rate of 31.4% compared to 39.5% in fiscal '24 due to the spin-off, including carve-out and other related one-off costs.  Adjusted net profit group share reached EUR 221 million, up plus 8.4% year-on-year, while the adjusted basic EPS came in at EUR 1.52. This performance demonstrates a strong acceleration in growth and profitability throughout the P&L.  We will now look at how these elements also translated into the strong cash generation and conversion that we delivered once again in this fiscal year on Page 25.  We are indeed once again very pleased with our cash flow generation this year, up plus 10% year-on-year. We delivered a record recurring free cash flow of EUR 417 million compared to EUR 379 million in fiscal '24, resulting in a cash conversion rate of 89%, well above our 3-year average target of 75%.  Let me detail the main factors contributing to this solid performance beyond the strong recurring EBITDA. CapEx amounted to EUR 98 million, representing a temporarily lower 7.6% of total revenue, mainly due to the finalization of the IT carve-out during the first half of fiscal '25. Nonetheless, the group maintained a strong investment focus over fiscal '25 in data and payment capabilities, technology innovation, and infrastructure, as well as cybersecurity, all essential to underpin future growth and efficiency improvements.  Change in working capital, excluding restricted cash variation, stood at plus EUR 128 million, while fiscal '24 change in working cap was boosted by positive one-off effects, including the impact from the regulatory change in Brazil and from the Paris Olympic Games in France. Income tax paid decreased to minus EUR 86 million, reflecting the near normalization of the effective tax rate following the spin-off, as mentioned earlier.â€¯This strong cash generation and high cash conversion clearly demonstrates the group's disciplined execution, sustained operational efficiency and enhanced financial flexibility. This strong cash generation was also a key driver to fuel the further increase in the group's net financial cash position in fiscal '25, as we see on Slide 26.â€¯  The group's net financial cash position increased by plus EUR 108 million, up to EUR 1.163 billion of net cash as of year-end. It was mainly driven by the positive inflow from the EUR 417 million of recurring free cash flow, as we have seen. Main outflows over the year included, first, minus EUR 148 million linked to the payment and related impact of the acquisition completed in fiscal '25, notably Cobee, which was partly offset by the disposal of the nonconsolidated investment in Cobee.â€¯  And then these outflows included minus EUR 65 million related to dividend distribution to both shareholders and noncontrolling interest, minus EUR 5 million of other impacts related mainly to the cash out from other income and expenses, and the purchase of treasury shares, and minus EUR 47 million of currency effect on cash position, excluding [indiscernible] net cash position is also reflected in our BBB+ rating from S&P.â€¯  The strong [ Tepi ] net cash position allows us to actively deploy our capital allocation strategy, which I will review on Page 27 before handing over back to Aurelien. Since January '24, we have consistently reiterated that our capital allocation strategy relies on 3 central pillars: investing for future organic growth through CapEx, pursuing targeted and value-accretive M&A opportunities, and returning capital to shareholders.â€¯  First, we maintain our ambitious investment policy targeting to remain below 10% of total revenues in CapEx to support sustainable organic growth. Although this year's ratio was temporarily slightly below target, our investment focus remains strong, particularly in technology and data.â€¯  Second, we continue to deploy our targeted and disciplined M&A strategy. Asâ€¯Aurelienâ€¯ highlighted earlier, all our recent acquisitions have fully met expectations, clearly evidenced by their progressive positive contribution to growth once integrated.â€¯  And lastly, we remain fully committed to returning value to our shareholders. Initial step in our shareholder return policy is the dividend. The shift last year to adjusted net profit as the basis for dividend payout sent a clear and confident signal to our shareholders. Accordingly, we are proposing this year to increase the dividend from EUR 0.35 to EUR 0.38 per share, representing a plus 9% uplift.â€¯In addition, we have a strong and accelerating free cash flow generation as well as a higher year-end net cash position in fiscal 2025.â€¯  As we are confident that this will not compromise our investment capacity for growth, we have decided a EUR 100 million share buyback program. This is a testament to our focus to shareholder returns and our confidence in the group's future outlook. And with that, I will now hand it over back to Aurelienâ€¯, who will take us through our financial objective for fiscal '26 and the conclusion.â€¯
Aurélien Sonet: Thank you, Stephane. Let me now wrap up this presentation with our outlook. Back in January 2024, we set ourselves ambitious medium-term financial objectives. And over the first 2 years of the plan, we can clearly say that we have delivered and even outperformed on them. That said, the environment in which we operate is no longer the same. A more challenging macroeconomic context has created headwinds in several markets, making us enter fiscal 2026 with caution. However, we remain strongly confident in our structural growth drivers and in the significant potential for further margin improvement and robust cash generation.â€¯  Consequently, we are now committed to delivering for fiscal 2026, first high single-digit total revenue organic growth. This will be driven by solid momentum in Employee Benefits operating revenue, while other products and services are expected to remain dilutive to overall group growth, and float revenue should stay broadly stable in value based on the latest forward curves.â€¯  This high single-digit growth in fiscal 2026 would translate into a 3-year CAGR of at least plus 12%, firmly within the low double-digit range. Second, plus 100 basis points recurring EBITDA margin organic expansion, upgraded from the previous plus 75 basis points, backed by the group's significant potential for continued margin enhancement. This should translate into an overall margin expansion exceeding 500 basis points, well above our initial 250 basis points 3-year target. Third, above 80% recurring cash conversion on average over fiscal 2024 to 2026, representing a second upgrade from our initial 70% objective.â€¯  Now, before opening the floor to questions, I'd like to highlight once again that fiscal 2025 has been another very strong year. As we enter fiscal 2026, we look ahead with confidence, supported by solid fundamentals, a loyal client base, and a strong commercial pipeline, but also with prudence given the challenging environment that we face in several of our markets. Building on our strengths, we remain fully committed to executing on our long-term value creation road map. And with that, Stephane and I are very pleased to answer your questions.â€¯
Operator: [Operator Instructions]. The first question is from Julien Richer from Kepler Cheuvreux, Research Division.â€¯
Julien Richer: So 2 questions for me, please. The first one, you posted a low double-digit organic revenue growth in '25. '26 guidance is for revenue to grow high single digit. What proportion of this will be volume versus sales value increases? And how sustainable are these drivers if macro conditions soften? Second question on Cobee. Could you please elaborate on the cross-sell potential between your platform and Cobee, the impact of Cobee on your average revenue per user, and any early signs of scalability to other geographies, please?â€¯
Aurélien Sonet: So I'm going to start with your question regarding Cobee, Julien, and Stephane, you might answer the first question of Julien. So regarding Cobee, as we are mentioning, we see 2 very positive effects when we migrate our existing Pluxee clients on the Cobee's platform,â€¯ the first one is, as I was mentioning, is the activation of users because in Spain, it's not always collective benefits. It's more a salary sacrifice model. And so we see a boost in the level of activation. So this is the first driver. And the second one is the amount converted by the end user into benefits. And we see that the budget is increasing because the full range of benefits bring much more satisfaction and answers much more to our clients' employees. So those are the 2 strong synergies. And this is still the start, and it was our plan, and we see that we are meeting our initial plan. Now, in terms of expansion and rollout plan of our Cobee offering, we are already working in Portugal and in Mexico. And in both countries, we are seeing very encouraging signs. The market is answering quite positively, and for the moment, we really want, I mean, Spain, Portugal, and Mexico to be successful. So those are our top priorities for '26. Stephane, regarding the first question?â€¯
Stephane Lhopiteau: So, regarding your question about how much the high single-digit growth is going to be fueled by average face value versus volume. So, as a reminder for everyone, average face value increase is a key contributor to the growth in business volumes. But you're right, within this business volume, there are some factors like this increased average face value versus new client gain or some potential losses that we try to avoid as much as possible.  So what I can tell you in terms of average face value contribution we are fully on track with our initial commitment, which was to deliver EUR 3 billion of increase in average face value over 3 years, and we have delivered more than EUR 1 billion in fiscal '24 and once again in fiscal '26, and we are targeting even though this is not a guidance, but we are targeting the same magnitude of increase in average face value in the coming fiscal year '26.â€¯
Operator: The next question is from Estelle Weingrod fromâ€¯JPMorgan.â€¯
Estelle Weingrod: On regulation, first, both France and Brazil, just where do we stand now? And what is your best guess on timing? The second one on the outlook as well. You're guiding for another strong year in terms of margin expansion. Can you just elaborate a bit more? What is it driven by? Have you identified new efficiency gains?â€¯
Aurélien Sonet: So starting with the regulation for France and Brazil. So France, at the moment, the main topic is about the 8% taxation measure that was introduced by the government on the all employee benefits. Quite recently, an amendment related to this measure and related to the cancellation of this measure was passed at the social committee level. So this is, I mean, a very good news for the 21 million French worker that would be impacted by this kind of measure.â€¯  Now discussions are still going on at the first chamber before going to the second chamber to the higher chamber. So we still remain vigilant regarding this topic, but it's a positive evolution.â€¯  Regarding the meal benefit platform, which has been our topic for the past almost 2 years, as you can imagine, for the moment, this is not the current priority of our existing government. But even though we don't have the visibility on the timing when the discussion will resume, I remain optimistic that this topic will be rediscussed first. And regarding the content of this reform, I would expect that it would contain similar measures, given that the past 3 governments came out with the same conclusion and recommendation. So from a timing standpoint, we don't have a clear visibility yet.â€¯  So, back to Brazil. So over the last months, the macro environment has been marked by still a relatively high level of inflation. So Lula government has been put under strong pressure to find solution to reduce the food inflation and to enable access to food for all consumers and to face or to help the government face the challenge, we remain in constant dialogue, both with the Ministry of Labor, but also the Ministry of Finance to discuss ways to enhance the meal benefit system the path and to do it over the long term.â€¯  So we do share a common objective, which is to ensure the sustainability and the extension of this program. And when we look more precisely at the different measures, so regarding portability and interoperability, so the decree that is required for this implementation is still pending on the portability, and we shared this during the last call. We've been actively engaged to establish the appropriate framework and based on the proposal that we submitted through our association. But there is no specific update since then.â€¯  And regarding other possible measures. As previously discussed, we are also closely monitoring the situation. And we'll come back to you in due time when there is a significant evolution, which has not been the case over the past months.â€¯  So this is for the regulation. And regarding how we plan to deliver 100 basis point margin expansion. First, we will continue to fuel our platform model with steady business volume growth, both organically and inorganically to fully capture the benefit of our operating leverage. Second, as mentioned by Stephane during the presentation, we continue to strengthen our cost discipline.â€¯  We are also implementing additional efficiency programs that includes process simplification, more selective investment allocation, and further digitalization of our processes. And indeed, these measures are designed to offset the impact of the slower top-line growth in order to sustain our EBITDA margin. And third, we've been reviewing our portfolio to ensure that our capital is deployed where we see the highest potential. And we share with you Indonesia. So this could include exit from smaller or less strategic markets or products.â€¯
Operator: The next question is from Justin Forsythe from UBS.â€¯
Justin Forsythe: I appreciate the 2 questions here. So the first one, I wanted to come back to the guidance a little bit. So I just wanted to first confirm that, that was only tied to the macro impacts that you were flagging.â€¯  And does that mean that we'll be back at low double digit once we've lapped or grown through these macro impacts? And it also sounds like face value developments have been quite positive since the last results, and more broadly. So I suppose it's fair to assume also that the benefit from face value is quite meaningfully offset by macro, maybe more so than before. Also, I wanted to talk a little bit about the SME penetration. I think you gave some color around the Capital Markets Day back in 2021 around where we sat different geographies. I believe France was 10%, Brazil was 20%. Maybe you could just update us on penetration levels today, because you seem to continue to flag the continued penetration of SME increasing.
Aurélien Sonet: Okay. Thanks, Justin. Stephane, maybe you want to -- you take the first question regarding the guidance.
Stephane Lhopiteau: So regarding the slight shift because it just a slight moving from low double digit to high single digit, which is still an exciting organic growth that we are targeting for fiscal '26. There are a number of factors that need to be considered. The first one is the change in the float growth. So, this is not a guidance because we are just guiding on total revenue.  But as said by Aurelian during the presentation and clearly stated in the press release, we are guiding -- we are adding some color on the float revenue growth, and we are seeing it to remain stable in fiscal '26. And so, this means that the float revenue organic growth is going to be dilutive to total gross revenue. And if you do the math compared to fiscal year '25, you would see that this is going to hit the organic growth by 150 basis points approximately. So, this is the first factor.  The second factor is this macro headwind that we are seeing basically in all the regions, which is going to drive lower growth from all the regions, even though it's going to remain with a good momentum in Latin America and rest of the world, but with a lower growth in Continental Europe for the reason we already shared and notably, this lower or even sometimes negative end user portfolio growth, which is going to weigh on our organic growth.  And then on top of this, while the overall the Employee Benefit segment is going to remain very dynamic, we are facing some changes in other products and services we refer to these changes or headwinds during the presentation. The first one is that because of the macroeconomic environment, there are some public benefit contracts which are not renewed, which are postponed, and which is going to weigh on this from public benefit to the total revenue organic growth.  And at the same time, we are repositioning ourselves in the U.S. and the U.K., which is temporarily weighing as well on this organic growth. And then something that we should not forget as well is that we delivered very strong growth in fiscal '24 and fiscal '25, which is creating a high comparison base, notably in Q4. If you look at the presentation again and what we delivered in terms of organic growth in Q4, which is a fantastic outcome result as part of what we are getting from this Santander partnership.  Yes, this is creating a very high comparison basis. And in Q4 of '26, we might face lower growth, which is also contributing as well to a lower growth in fiscal year '26 versus fiscal year '25. So overall, in order to make it short and in terms of segment, we are still committed to deliver very high organic growth in terms of employee benefits, but lower for other products and services, which is going to be dilutive to the organic growth. Don't forget the impact of the float. I think that's it. We are not going to share more color for what is going to come further in '26. We are right now fully committed to deliver our 3-year plan, and we'll see later what we plan for '27.
Aurélien Sonet: And then regarding your question on SME, so we shared with you the performance this year. I mean 31% of our total new business is coming from SME. This remains a top priority for our largest markets. And all of them contributed to this performance. So, we see the good traction. We mentioned this commercial engine. I mean and the processes and the end-to-end digital journey that we put in place this was implemented in all those markets. The momentum is good.  But still, it's fair to say that we -- in some countries such as France, we see a slowdown due to the macroeconomic context because this uncertainty weighs on the decision of those small or mid-sized companies. And sometimes it could even have an impact on their own future. So, we still expect a strong contribution, but it's likely that there's going to be a slowdown in specific market.  Having said this, regarding the penetration and just, I mean, more macro view, even though we did -- we delivered a great performance, there is still a high level of potential. The level of penetration remains still low. So overall, we still have a very good potential to capture.
Justin Forsythe: Stephane, I think you said 150 basis points impact from the float growth change. By my math, that's roughly $19 million, $20 million impact tied to float. Is that the right math there?
Stephane Lhopiteau: If you simulate 0 organic growth in float in '25, compared to the 12.6% that we delivered, you will end up with 150 -- a little bit more than 160 basis points impact overall. And so, this is what I was trying to explain. This is a way to assess it applying to fiscal '25, what we are sharing with you in terms of color for fiscal year '26. If you do it again, you will see that we have 100 -- a bit more than 150 basis points impact in our organic growth for '25.
Operator: The next question is from Andre Juillard from Deutsche Bank.
Andre Juillard: First, congratulations for this strong fiscal year '25 results. One question for me in reality. Just looking for more clarification about the capital allocation. You have a very strong cash net position of EUR 1.16 billion. You announced a share buyback of EUR 100 million this morning. That means that you will keep a very comfortable position with a cash net position. What do you plan to do with this cash? Is there a very strong pipeline of M&A? Or could we expect further good news in terms of return to shareholders?
Aurélien Sonet: Stephane, do you want to answer?
Stephane Lhopiteau: So regarding capital allocation, which has remained unchanged, we have a fully consistent calculation that we unveiled at the time of the Capital Market Day, and the purpose of which is to feed the organic growth with further CapEx to accelerate even more our organic growth by seizing opportunities in a disciplined and very targeted manner in terms of M&A and returning value to shareholders.  So, we truly believe that there is a strong potential behind M&A opportunities in order, as I was saying to capture this highly underpenetrated market is there, and by seizing M&A opportunities, we could accelerate, expand our offering, acquire new tech, increase our market share. So, this really remains a very strong pillar in terms of development for Pluxee, even though we are very disciplined, cautious in order to make sure that every time we acquire a new company, this is for creating new value. So as Aurelien said, we have a strong pipeline that we will remain disciplined. That being said, we always said that we will be agile and that from time to time, we might accelerate return to shareholders. This is what we decided to do with strong support from the Board for this fiscal year '25. This is a step. We'll see. We'll see. There is no commitment at all. This is, I think, very good that some companies like Pluxee are highly performing, and companies are able to return value to their shareholders. This is one of our commitments.â€¯  Other commitments like growing as much as we can and as quickly as we can, by investing in CapEx, and seizing M&A opportunities. So I think this EUR 100 million share buyback program is really fully consistent and fully aligned with the request we also received from many investors, as well, that we are listening to our shareholders.â€¯  And to finish my answer, this is a very good sign of our confidence in the Pluxee potential. And we are aware of where the stock price is currently trading, and versus the value we consider we are able to create from this company. And so this is also a sign we wanted to share with the financial market.â€¯
Andre Juillard: So, as a summary, the message is step by step.â€¯
Stephane Lhopiteau: As always.â€¯
Operator: The next question is from Pravin Gondhale from Barclays.
Pravin Gondhale: Firstly, you flagged that Q4 organic growth was impacted by the postponement of ordering of some large programs in Europe. Could you please offer more color on the potential size of those orders? And when do you expect it to resume? And then on free cash flow conversion guidance, which is about 80%, now you delivered close to 90% in the last 2 years. So next year, how should we be sort of thinking about it? Can we expect some catch-up CapEx there, given it was lower this year? And any other moving parts to that guidance, that would be helpful.â€¯
Aurélien Sonet: Stephan, do you want to answer Pravin's question regarding the free cash flow guidance and potentially the organic growth impact, I mean, from the program in Q4?â€¯
Stephane Lhopiteau: In terms of our free cash flow guidance, we delivered very strong cash conversion in fiscal year '24 and fiscal year '25, which is a good basis for improving our commitment to deliver over 3 years now 80% of cash conversion remaining, aware of the potential for working capital. We always made it very clear that good business is the strength of our business model. As long as we deliver growth, we have some positive effect on our free cash flow from the working cap variance.â€¯  However, this could be hit positively or negatively by some changes in some regulations, as this happened in '24, '23 with Brazil, and it was a positive effect. And we could also have some negotiation, notably related to the public benefit contract, where we could have some hit on the working cap. So this is why guiding you on an 80% average over the 3 years, this is another step-up in our guidance that you should take very positively. And this is over 80%. So, on average, over 80%. So we are not guiding on an 80% achievement, we are guiding on over 80% growth. Regarding the organic growth and the impact from the large programs, public benefit programs. So I don't have in mind the impact in terms of basis points.â€¯  But yes, there are some countries, especially in Western Europe, like Romania or Austria, for example, where some decisions were taken by the state, and because of some budget constraints, to suspend or to reduce some of these programs. So these programs remain very attractive because we are always very selective in this kind of program, making sure that they are accretive to our profitability. But they are weighing at least temporarily, and we'll see further on our organic growth, notably because we did good, very good in '24 and '25 in this segment, creating a high comparison base.â€¯
Operator: The next question is from Sabrina Blanc from Bernstein.â€¯
Sabrina Blanc: I have 2 questions from my part, please. The first one is that you have not mentioned a lot of cross-selling this morning. Can you come back on the evolution and potentially how it represents compares to the meal voucher? And my second question is regarding the retention, which went to 100%. Could we have more color on the different aspects of the retention compared to 2024 to understand where it comes from, the limited slowdown this year compared to last year?â€¯
Aurélien Sonet: Okay. Regarding the net retention, I mean, most of the evolution between '24 and '25 came from the evolution of the end user portfolio, which was contributing quite significantly in '24. And as we mentioned in '25, I mean, even on H2, it turned negative. So this is the main explanation that supports this decrease between '24 and '25.â€¯  And regarding the cross-selling evolution, we still see, I mean, a positive improvement, and actually, it translates our multi-benefit strategy. We mentioned Cobee, for example, which is definitely paving the way to a much stronger multi-benefits approach and a way for us to activate the full value from our existing clients.â€¯  Having said this, we know that we have much more potential. And so for us, it's going to be one of the drivers that will help us not only keep but boost our net retention for the coming years.â€¯
Sabrina Blanc: But could we have an idea of the weight of the, let's say, the solution which are not a milk voucher compared to the milk voucher in the operating revenues, for example?â€¯
Aurélien Sonet: What I would say is that the contribution coming from the cross-selling in percentage is higher than the overall growth.â€¯
Operator: The next question is from Joanne Jordan from ODDO BHF.â€¯
Joanne Jordan: Also, 2 questions from my side. First, can you share some comments on the early start of the gift card season, please? And second question, regarding the evolution of the take rate, it's up 20 basis points in '25. What are the main drivers behind this increase? Is it mostly coming from merchants or the client fee?â€¯
Aurélien Sonet: So, regarding the Christmas campaign, it's too early to give you, I mean, color. But I can tell you that, I mean, the teams in many geographies are on it as we speak. And for us, Q1 will be the moment when we will be in a position to give you a much more precise color. But to date, it's too early. But it's part of our plan. It's embedded into our growth trajectory. And again, I mean, more to come in the Q1 announcement. Regarding your second question on the take-up rate, Stephane?â€¯
Stephane Lhopiteau: So, regarding the take-up rate, there is a global trend over the last 4 years, and there is one happening in fiscal '25. So overall, as a reminder, and over the last 4 years, we have improved our take rate of 50 basis points and with a vast majority of this improvement coming from the increase in the client commission. And then from 1 year to another, there might be some slight changes. And when we compare '25 to '24, there is a bit of an increase on the merchant side as well, as long as we are able to deliver more value to the merchants, offering them new services, and having them notice how much we can bring to them. And there is also the mix effect.â€¯  So, we were not expecting an increase. If you remember last year when we guided you, we shared some color on the take rate, and we didn't have a specific target in terms of increasing the take-up rate, but this is the outcome of all the initiatives we took with some merchants with our merchant network in order to provide them with some additional services.â€¯  But again, I think the big trend is what you have to keep in mind over the last 4 years, we have increased our take-up rate by 50 basis points, with the vast majority of this change coming from the client side.â€¯
Operator: There are no further questions registered at this time. I will now hand it over to Aurelien Sonet.â€¯
Aurélien Sonet: Thank you, and thank you all for your attention this morning. In closing, I would like to reiterate our confidence in the future, supported by the strong performance delivered in fiscal 2025. Looking ahead, we remain deeply committed to establishing Pluxee as a sustainably profitable growth group over the long term. And with that, I wish you all a very good day.â€¯
Operator: Ladies and gentlemen, thank you for joining. The conference is now over. You may disconnect your telephones.